Operator: Good day everyone and welcome to the Natuzzi Fourth Quarter and Full Year 2017 Conference. At this time all participants are in a listen-only mode. Following the introduction, we will conduct a question-and-answer session, instructions will be provided at that time for you to queue up for questions. Joining us on today's call from Italy are Natuzzi's Chief Executive Officer, Mr. Pasquale Natuzzi; then Mr. Nazzario Pozzi, Chief Officer of Natuzzi Division; Mr. Gianni Tucci, Chief Officer of the Softaly Division; the Chief Financial Officer, Mr. Vittorio Notarpietro; and Piero Direnzo, Investor Relations. As a reminder, today's call is being recorded. At this time, I would like to turn the conference over to Piero. Please go ahead.
Piero Direnzo: Good morning to our listeners in the United States, and good afternoon to those of you connected from Europe. Welcome to the Natuzzi's fourth quarter and full year 2017 conference call. After a brief introduction, we will give room for a Q&A session. Mr. Pasquale Natuzzi, together with the top management team, will be glad to answer your questions. Before proceeding, we would like to advise our listeners that our discussion today could contain certain statements that constitute forward-looking statements under the United States securities laws. Obviously, actual results might differ materially from those in the forward-looking statements because of risks and uncertainties that can affect our results of operations and financial condition. Please refer to our most recent 20-F filed with the SEC for a complete review of those risks. The company assumes no obligation to update or revise any forward-looking matters discussed during this call. And now, I would like to turn the call over to the Chief Executive Officer, Mr. Natuzzi, who together with officers of the Natuzzi Division, Nazzario Pozzi and Softaly Division, Gianni Tucci is now in the USA to take part in the High Point furniture market. Please, Mr. Natuzzi.
Pasquale Natuzzi: Thank you very much Piero. Good morning. I would like to emphasize that despite the disappointing financial result, we are encouraged by the first progresses we see from our investment in the huge transformation of our company from a pure manufacturer to a retailer company. 2017 net core sales were €421.6 million, down 2.3% as compared to 2016, but with different result within our main divisions. In fact, private label experiences declining sales, while the Natuzzi branded division showed positive results in particular in the directly operating stores. Our directly managed retailer division, which includes Natuzzi Italia, Natuzzi Editions and Divani&Divani continues to grow globally and in 2017 represented 13.4% of our core business compared to 10.4% 2016 and we are continuing to expand this network, having organized four new store ready in 2018 with 10 more planned during the year. US sales in 2017 increases by 26% to €53.1 million in 2017, within such numbers we’ve se Natuzzi Italia in United States growing the fastest. Total tickets in our retail division grew by almost 20% year-over-year and our average ticket size increases by almost 10% demonstrating the value of our investment in product merchandising and brands. Most of our new stores has been opened in North America and Europe. Last month we announced a joint venture with Jason Furniture, name as KUKA for the aggressive expansion of our distribution in China. One of the most exciting markets of our product and brand obviously. Together with our partners we will open significant number of store over the next year, which we expect that will accelerate our growth into furniture market in China. 2017 our wholesaler branded revenue declined its sales by 2.5%, but within the branded division our Natuzzi Italia wholesaler business grew by 8.4%. 2017 Softaly showed declining revenue, primarily a result of extremely difficult retailer condition of a few of large customer in North America. We are putting much effort in recovering this unbranded business. For this reason we have spent the past six months reengineering the Softaly product a and price for our Europe-based larger customer. Early indication from the recent Cologne fair have delivered the first encouraging result. On the basis of the job done for Softaly in EMEA, Europe and Middle East and Africa, we are representing this basic completely new program by the High Point markets. The final - the first month of 2018 we see a similar trend in the order flow as experienced in the last year with a different performance across the two divisions. The group totalled order flow in the first 13 weeks of 2018 shows low single digit decrees under cost and exchange rate, within this picture Natuzzi Division than Softaly and Natuzzi Editions confirmed a positive trend in sales. In. December ‘17 we opened store with the new generation retailer format in King of Prussia, which is the name of a department store in Philadelphia. Sales performance from this new store are well above the average of the existing stores. We saw almost the same positive sales performance in Costa Mesa, Orange County, close to Los Angeles in the new store that we opened in February 2018. Hosting some of the existing store, which already have the new generation format such as Tottenham Court Roadand Finchley Road in London, we are seeing double-digit improvement in sales. Operating result, Natuzzi operating result was disappointing and frankly embarrassing to me and I will ask Mr. Notarpietro to provide you with more details of the information. But let me say two things. First, significant portion of those losses were the result of extraneous factors such as the label case judgment we announced at the last summer. It should be noted that we continue to fight these claims and they recently won interim rulings which we hope will bring us benefit in the future. Second, we will continue to expand our retailer footprint in America to capitalize the investment so far in that region to build up retail organization with focus also in United Kingdom and Italy, while increasing the business in China with the recently announced joint venture. All the above should allow our retail and overall business to recover productivity and profitability. We are very much confident about that. Finally, we continue to look at our expense especially those relating to overheads. We will continue to take every step we can to balance our cost to capture the profitability available from our new market strategy. With that, let me introduce Vittorio Notarpietro, our Chief Financial Officer, who will take you through the numbers and then I will be available for any questions. Thank you.
Vittorio Notarpietro: Good morning. Thank you, Mr. Natuzzi. 2017 full year net sales were €449.6, down 1.7% versus previous year. Under constant exchange rates, net sales would have been flat. It has been a very difficult year with disappointing results. But let's go deeper in those results. In 2016 the company displayed a small operating loss of €0.4 million, while in the full year 2017 we reported €29 1 million operating losses of which €9.3 million accrued for legal proceeding risks as a consequence of the Supreme Court judgment. €2 million extra costs for the re-employment of 168 workers which now are under the subsidized program called solitary deck, €2.6 million in one-time staff reduction costs which will give at regime an annual saving of about €3 million, €3.4 million of from foreign exchange fully recovered with hedging activity and accounted below the operating margin. 0.6 for bad debts deriving from financial problems of some of our client in USA and Italy. And finally 8.1 million increase in SG&A related to retail which grew at 25%. Reported numbers are what they are and we are not pleased with that of course. But excluding all such events, we would have had 3.1 million operating loss from continuing operations. As you can realize on this pro forma basis we are not far from breakeven at the operating level, which the company achieved already in 2016 fiscal year and again represent the management goal for 2018. Let's talk more of about SG&A which impacted operating margin for a total of €11 million in 2017. As you know the company has been building its growth plan mainly on the expansion of its mono brand Natuzzi stores network with a specific focus on those directly operated by the group. Let's say DOS. To better explore the potential deriving from the retail operations the higher margin and the quicker cash flow associated to a DOS versus franchises store we had first of all to build let's say the infrastructure necessary to develop the retail business. As you know already during the last 18 months we have significantly invested in specific retail and marketing organization at both headquarter and regional level which means hiring skilled people, new people with experience in the retail sector, new regional managers, investments in advertising and digital tools to enhance the customer's retail experience. We have - we can say we have almost completed such investments, therefore in executing the retail expansion we were mainly incurring those cost that are strictly related to the opening of a new DOS, I mean, new store staff, new store managers, store utilities, store rent, et cetera, et cetera and that it. As the stores opened we get more productive and we estimate it takes 18 months on average for a mono brand store to get fully productive. Our retail and brand investments will be progressively better leveraged and properly returned. We will concentrate our mono brand expansion specific markets where we already have a retail organization in place. This should favor the absorption of fixed SG&A cost. I remind you that the retail business is relatively new for us to becoming a retailer has not been simple or a quick task. Nowadays we can certainly affirm that our brand is globally recognized and associated to high hand market positioning. As said, the 2017 acceleration towards retail expansion caused a significant increase in SG&A with a huge impact on operating profit. This phenomenon was already in the first, second and third 2017 quarters’ quarterly results with increasing SG&A due to the opening and the acquisition of Directly Operated Stores Seven in stores in Florida, three stores in Mexico, plus [indiscernible] concessions within Palacio de Hierro department store, five stores in Italy and one store in Spain, calculating personal cost, restructuring costs for the acquired stores, lease costs and all other directly operated stores related expenses in the new business we cumulated €8.1 million out of the €11 million that is total increase in 2017 versus this year. But the gap versus previous year not only quarter by quarter. In fact if we see each of the 2017 quarter s we appreciate the following trend in SG&A expenses. First quarter ‘17 was at €3.1 million versus first quarter ’15. Second quarter was up €4.9 million. Third quarter was up €1.7 million and finally fourth quarter has been up €1.3 million versus the same quarter in 2016. And Vittorio certainly elaborate about that with regard to 2018 results. And let me say that ready in 2017 we've had the very first positive sign. That's why we have clear ideas about the retail expansion for the foreseeable future. As for the moment we had a specific rollout plan for 2018. In fact, in the rest of this year we plan to open 10 stores in addition to those four DOS already opened in the first part of this year. Now let's talk a little about the current year. 2018 is characterized by the strengthening of the euro versus all major currencies, including US dollar and British pound which are the currencies of our two most important markets. So the comparison of 2018 numbers with previous year is challenging. Currency to euro currency is still strong and we do not see any reverse in such trend. For example, in the first quarter 2018 euro currency versus US dollar got stronger by 15% compared versus first quarter 2017. But if euro will continue to stay where it is today and today is in the area of 122 – 123, this gap will narrow in the next quarters. I mean, the comparison with the correspondent quarter of previous year. In this regard, let me briefly underling our Asian policy, we had a negative impact from foreign exchange fluctuation of €3.4 million on 2017 full year operating margin, totally offset by ForEx hedging activity accounted at the income below the operating margin. You can appreciate that from our press release.. Let's get back to our plans for 2018, which focuses on different activities aimed at supporting safe, enhancing efficiency, quality and service. This year we will continue to implement the necessary actions to support growth in sales. Nazzario and Gianni will be pleased to answer you question on this market, but in a nutshell the priorities for the two divisions can be summarized as follows. Natuzzi must capitalize the retail investment done and increase the productivity of the existing stores. Secondly, do selected new openings in those geographic areas where we have already an organization in place. Third, improve the execution of the brand strategy in the network of franchising stores to improve the productivity of net sales change which is still the majority of the today’s business. Softaly must and Softaly will recover the North American business by a more aggressive and new product program we are presenting these days in High Point, North Carolina, furniture exhibition. Gianni Tucci and his team already did a great job in Europe. It's time to recover in North America. Industrial operations in 2018, we will continue with our lean approach to get further level of efficiency in our plan and we are different measures to be implemented. We have been organizing now Italian operations so to reducing balances that may arise between supply chain capacity vis-à-vis the seasonality of the overflow which is typically in our industry, reducing in this way the issues occurred in third quarter 2017 and improve the overall efficiency. Then our production organization will be further revised to reduce the cost of quality. Most importantly we have been also simplifying the Softaly collection in order to reduce complexity in our production. We reengineered most of the Softaly models according to the modular platform approach so to benefit from. Higher economies of scale and transaction efficiencies. We are also revising our Softaly customer portfolio with the aim of focusing on customers having appropriate size and potential. All of the above mentioned activities should allow the company to better leverage on the current industrial assets and get higher level of efficiency. At the same time we continue to be focused on the management of the redundant workers at the Italian operation. As you might recall, the company filed in October 2016 176 workers has being redundant for its production needs, but in third quarter of 2017 we got an unfavorable judgment by an Italian court according to which the company had to re-employ 168 workers of the 176 who were initially filed. Although we are not pleased at all the company has executed of course such court decision incurring an additional labor costs in the last four months of the last year. In this regard as anticipated in the press release, in December 2017 we reached an agreement with the Italian institution to extend the scope of the current solidarity agreement also to those workers who have been reemployed. This will have the company limit impact into profit and loss for 2018. We are also streamlining the overhead structure of some trading subsidiaries abroad where we transform the structure from fixed cost to variable cost. In addition, SG&A will also benefit from a staff reduction program for which we accrued €2.6 million in 2017 that involved some of the groups spreading subsidiaries in Italy and abroad. The transformation process of our group from a pure manufacturer into a retail oriented company will continue this year. Therefore to continue such transformation we'll introduce some specific managerial competencies in those positions necessary for more effective development of the retail business going forward. As for the Italian white collars, we will maintain a higher degree of utilization of the current sodality agreement scheme in Italian solidarieta, contratto di solidarieta. This means that the employees. Here in Santeramo will work less hours to allow higher trading. 2018 is a challenging year, but we stay focused on the transformation of the company. Although the overhaul order flow is not knowing yet, this year as said by Mr. Natuzzi, and in spite of unfavorable foreign exchange we will report stable phase in Q1 in the first quarter 2018 versus the first quarter 2017. Thanks to the acceleration of our supply chain that generated faster deliveries. Let's now discuss about future. In order to capitalize on the brand equity we got the recent agreement in China. Let's say more about the deal recently reached with KUKA. So their business in China is with the Natuzzi Italia and Natuzzi Editions for a total of about €90 million at retail level in 2007. The Natuzzi Group started operating in China in 2001 and we just production plant to serve the North American market. In only 2011 we started opening the first Directly Operated Store with Natuzzi Editions. After a few years the business became profitable. Today the Chinese commercial operations are the best retail performance within the group. The Natuzzi commercial subsidiary in China is named Natuzzi Trading Shanghai Ltd and was established in early 2009. This business in China has grown at a double-digit pace every year since 2009. Natuzzi Italia business in China in 2017 has been about €20 million of selling value, entirely made with [indiscernible] dependent partners that operate mono brand stores. The most important of those partners operated 20 Natuzzi Italia stores. The Natuzzi Editions Chinese business which amounted to €17.3 million in 2017 is done by [indiscernible] directly operated stores and 90 franchises store all over the country. Thanks to our Chinese management and retail partners, Natuzzi Brand has become the international best known brand in the Chinese high end furniture [market. In recent years we have been impacted by several Chinese players in financial institutions. We have chose again KUKA because we share with them the vision about the future of Natuzzi brand in China because we think they can better than others and faster than ourselves develop a retail network and accelerate sales in that great country. In this venture we contribute our excellent sales organisation, our client portfolio and our 10 [ph] DOS Natuzzi Editions, which are profitable along with the perpetual distribution license Natuzzi brands. Natuzzi will keep the production of the licensed products, we continue to focus on product development, marketing, communication and retail concept. KUKA will lead the commercial development of the two brands, leveraging on their expertise in the Chinese territory with commercial partners and landlords. We think that the combination of KUKA and Natuzzi skills and assets will create a new strong player in the Chinese retail landscape. We'll discuss soon with KUKA about the e-commerce possibilities, which seems to be very exciting in China. They recognize the tangible value created by the group in the Natuzzi brand and understood very well the huge potential of this venture. That's why they will invest €65 million in total in this venture, €20 million will finance the business development, whilst €45 million will go for tangible and intangible assets such as the perpetual use of the trademarks will go to Natuzzi S.p.A They will pay a significant amount of cash flow debt, and we share an aggressive business, plan for the next years. The mutual goal is to leverage on this venture to aggressively accelerate stores opening, increased volumes, and reach economies of scale in both industrial and commercial organization. The plan for [indiscernible] some hundreds of new additional stores mainly with franchised partners. Why we think that the Natuzzi Italia stores should be mainly directly operated in Tier 1 and Tier 2 cities. We are currently in the process to get KUKA shareholders and local authorities final approval. Before the Q&A session I would much appreciate you to give some I highlights about Direct retail plan in the first month of 2018. Thank you so much.
Pasquale Natuzzi: Thank you, Vittorio. Good morning everybody. So as Vittorio said it would like to give you some details about the key drivers of our growth and profitability, the direct retail but also our franchise business. In the first quarter of 2018 the like for like sales of Natuzzi Italia direct retail are up 6% against the same speed of the last year at constant exchange rate and this growth is being driven by United Kingdom first 17% up against last year at constant exchange rate by Switzerland 13.5% up against last year and Italy 9% up against year. The total sales of all Natuzzi Italia direct stores including the new openings are up 16.7% against last year at a constant exchange rate, whereas the total sales of all direct stores including all brands Natuzzi Editions are up 9% against the same period last year. And this is driven mostly by the United States which is up 26.2% against last year at constant exchange rate. With -- our Natuzzi Italia flagship stores are showing a continuous growth. The best performance stores which is our flagship store in London, Finchley Road, is up 39% against the same period last year at constant exchange rate. The second store in London, second flagship Tottenham Court Road is up 31% against last year. Our flagship store in Milan, Via Durini, in the fashion design district is up 20% against. Madrid is up 8% against last year and also the [Zurich is up 5% against last year. At the same time, the new Natuzzi Italia openings in the United States with the right locations in our -- in that merchandising concept are proving to be up to speed much faster than expected. In the month of March 2018, the latest openings, which are Philadelphia, King of Prussia, Los Angeles, Costa Mesa and Chicago have ranked amongst the top six Natuzzi Italia best performance worldwide in the first month. And why we are all financing our margins and profits. In the first quarter of 2018 we have seen the results of our marketing and value driven promotional strategy which we have implemented in 2017 and this has led to reduced discounts against the same period last year. Discounts in direct were 21% in 2018 in first quarter, against 25% last year. In particular in the United States we have completed the turnaround of the stores that we have acquired in 2016 which went through inventory clearances last year. In the first quarter of 2018 discounts in the United States direct stores are down to 18% against 32% in the same period last year and now this is due to continue on a permanent basis. Let me also comment on our franchise business with Natuzzi Italia in the first quarter of 2018 we have seen the results of the actions that we have executed last year to translate to the success of our retail business more than also into the franchise business. On the year to day basis the franchise business on Natuzzi Italia is up 14% against the same period last year at constant exchange rate and such growth has been achieved in all market, plus 21% in Asia plus, 10% in North America, plus 8% in EMEA and notably 50% plus - 53% in the Italian market. And we have already plans the commitment from franchise partners for finding new openings namely in the United States, in United Kingdom and in China as Vittorio has explained to you. I would like now to introduce my colleague Gianni Tucci, and then of course I'm available for further Q&A later.
Giovanni Tucci: Good morning. Thank you, Nazzario. Softaly out of private label business, which is distributed through Natuzzi’s worldwide network has grown in line with our forecast for EMEA and APAC during 2017, but they suffered from adversary sale conditions in North America. The positive experience during the October 2017 market at the High Point Furniture sale as well as the March pre-market 2018 confirms our that we have introduced the right product at the right price point to help recover position in this very important market. Solid business partnerships are continuing to grow with the existing accounts and bringing additional strategic partnerships already in progress with tangible results which would certainly be confirmed by the quick addition of other targeted key accounts in the next week. The party has had the main focus to realign our organization and appoint to the right people to manage all aspects of this globally. I need to reiterate the highlights given earlier by my colleague Vittorio, as we have reviewed our operations and market and have developed a specific strategy to rebuild these important business, in particular we are focused to the following actions confirming the competitive sustainability of the Softaly business through the rationalization of the collection, the range nearing of our dedicated industrial platform and the appropriate procedures to satisfy the key accounts needs and timing to create and deliver the deserved quality of product and service. The impact of those actions combined with the efficiency are realized in our Romanian factory will enable further efficiency for Softaly in EMEA, adding new strategic accounts has already happened during the past Cologne fair 2018. We are extending the same business approach to the Shanghai plants, serving both the North American and Asian Pacific market where we expect to grow double digit this year versus 2017. We are taking similar actions to focus on recapturing our position in North America. We have chosen to redesign our product, offering platform and not compete solely on price. This is in line with the Natuzzi's overall effort to return our company quickly to profitability, confirmed by encouraging results. ‘ Thank you for your attention And I now pass the word to Mr. Natuzzi, again. Pasquale
Pasquale Natuzzi: So, we hear altogether to listen to any kind of question.
Operator: Thank you. [Operator Instructions] And we'll first hear from David Kanen of Kanen Wealth Management.
David Kanen: Good morning. Can you make clear for me from the KUKA deal that you signed, what's the total amount of cash that you'll receive at closing?
Vittorio Notarpietro: Okay. This is Vittorio. They are investing €65 million in total. At the end €45 million out of €65 will be paid to Natuzzi S.p.A. and €20 million will stay in the JV vehicle in order to finance the development of the business.
David Kanen: Okay. And then in terms of the development of the business will there – what will be the effect on your operating expenses going forward. And will there be a transition period where initially your operating expenses will be higher and then in the future the revenues will start to flow? If you can just explain to me what will happen as it's rolled out?
Vittorio Notarpietro: Okay. Just to clarify. Today, the Natuzzi Shanghai vehicle is already profitable. So we don't have today any kind of SG&A problem over there to deleverage. But we are losing opportunities because the timing and capability to open -- to accelerate. the business plan. At the end of the deal KUKA will control 51% of the JV while Natuzzi will have 49% but Natuzzi will continue to provide the JV with its plan and production. So we will have the full impact of the wholesale level 100% in the hands Natuzzi S.p.A. and the consolidated numbers. And we will have a 49% at the equity level in the JV. So we will get 49% in our equity of the future results of the JV. They will consolidate integrally line by line, we will consolidate earnings at the equity level.
David Kanen: Okay. So in terms of your SG&A there really will not be any impact it will – as on the manufacturing level whatever revenues there are in the joint venture you'll capture that, is that correct?
Vittorio Notarpietro: We have – no, no, its not. We have more than 100 fixed costs in our company. The fact that our plans both in Italy and China will be able to produce more products, this will leverage the existing fixed cost, including SG&A of the entire group.
David Kanen: Right. What I am saying though is in your consolidated results, forget about the joint - the 49% JV line on your income statement - on your income statement. Will there be an increase in SG&A related to the KUKA rollout?
Vittorio Notarpietro: I understand your question, we will not consolidate the retail sales, okay, the delta sell out.
David Kanen: Okay. So it will benefit your income statement in that whatever sofas and furniture that you produce for the JV will show up there on the industrial level correct?
Vittorio Notarpietro: Yes, correct. And also you know the general expenses of the - other general expenses including the fixed cost in our industrial platform which is huge.
David Kanen: Okay, understood. And you made reference to some savings, in particular I guess the settlement of the labor agreement, it looks like you took back those employees, but there's some kind of - there was some kind of negotiation. Can you quantify for me in 2018 what the savings is going to be in particular from labor? And then if there's any savings in any other line items within SG&A for 2018?
Vittorio Notarpietro: We mentioned in accrual of 2.6 million labor costs and we mentioned that at regime the full impact will be around 3 million, it would be 3.2, this year we will have a portion of that in the region of 2.7, 2.8. And this is for labor costs that we have already restructured in the company. But then at the same time we transformed some of our fixed cost in some commercial companies within the group from fixed to variable cost and this will lead the company to leverage you know on a smaller basis of fixed cost.
David Kanen: Okay….
Vittorio Notarpietro: I have also - I’ve also added that a portion of those savings will be reinvested in those markets in specific managerial position that we know we need to be reinforced in the coming months.
David Kanen: Okay. I'll go back into queue. Thank you, guys. Good luck. Sounds like you're going to have a very good balance sheet by the middle of the summer. Thank you.
Vittorio Notarpietro: Thank you, David.
Operator: [Operator Instructions] Sophia Lee of Mus Asset Management [ph].
Unidentified Analyst: Hi. I just have two questions regarding the JV. First of all could you explain how the – how the products are going to be sold with KUKA, like are there going to be - is this going to be a store within a store concept or is KUKA going to be selling your products on their website? And then my second question is just - do you have any long-term plans for this JV in terms of number of stores or revenue and margin?
Pasquale Natuzzi: Okay. This is Natuzzi. So as already Nazzario and Vittorio explained it, in China we have two companies, okay, in Shanghai – based in Shanghai, we have Natuzzi China which is a manufacturing company owned by a company by Natuzzi. It's almost 1 million square foot factory and we employ 1200 people. That factory manufacture product for the Natuzzi Edition domestically for China and even for Asia Pacific and for North America. While the factory manufacture also Softaly for Asia-Pacific and for North America. Then we have Natuzzi Trade, it’s a company where we have been - we made that the joint venture with KUKA. We sold to the KUKA 51% of the Natuzzi Trade [ph] that employ approximately 120, 130 people to manage the domestic business and even Asia Pacific business. Today Natuzzi Trade in China we have 10 DOS Natuzzi Edition and we have 90 franchise store that Natuzzi Edition and then we have 50 Natuzzi Italia store franchisee. So the DOS and given the franchised store goes together with the Natuzzi Trade management in the end the company. We have a plan to have in China really represents a huge opportunity. We are there since now almost 20 years. We have a very good brand, very high brand awareness. We expect to open many, many, many stores, okay. I mean, we have a significant growth plan for China.
Unidentified Analyst: Okay. So – right so I think just to clarify to make sure I really understood, so what you're saying is that you're still going to be producing but you basically all of the management of the sales is going to KUKA, is that correct?
Pasquale Natuzzi: Yes. 61% goes to KUKA.
Unidentified Analyst: Okay. Thank you.
Pasquale Natuzzi: You’re welcome.
Operator: [Operator Instructions] And it appears, there are no further questions at this time. I'll turn the call back over to our presenters for any additional or closing comments.
Pasquale Natuzzi: Sure. Thank you very much to the attendees of this conference call and for any further requests we will be always available at our headquarters office. Thank you again. Good day to everyone. Thank you.
Operator: That does conclude today's conference. Thank you all for your participation. You may now disconnect.